Operator: Hello, and welcome to the Scorpio Tankers, Inc. Second Quarter 2020 Conference Call. I would now like to turn the call over to Brian Lee, Chief Financial Officer. Please go ahead, sir.
Brian Lee: Thank you, operator, and thank you, everyone, for joining us today. Welcome to the Scorpio Tankers second quarter earnings conference call. On the call with me today are Emanuele Lauro, Chief Executive Officer; Robert Bugbee, President; Cameron Mackey, Chief Operating Officer; Lars Dencker Nielsen, Commercial Director; David Morant, Managing Director; James Doyle Senior Financial Analyst. Earlier today, we issued our second quarter earnings press release, which is available on our website. The information discussed on this call is based on the information as of today, August 6, 2020, and may contain forward-looking statements that involve risks and uncertainties. Actual results may differ materially from those set forth in such statements. For a discussion of these risks and uncertainties, you should review the forward-looking statement disclosure in the earnings press release that we issued today as well as the Scorpio Tankers' SEC filings, which are available@scorpiotankers.com and sec.gov. Call participants are advised that the audio of this conference call is being broadcast live on the Internet and is also being recorded for playback purposes. An archive of the webcast will be made available on the Investor Relations page of our website for approximately 14 days. On the call, there will be a short presentation slides, which are available@scorpiotankers.com and the Investor Relations page, under Reports and Presentations. You have any specific financial modeling questions, contact me later and discuss off-line. Now I'd like to [Indiscernible] Emanuele Lauro.
Emanuele Lauro: Thank you, Brian. Good morning or afternoon to all, and thank you for your time today. Firstly, I'd like to open so mentioning that we continue to stand with our employees, especially our seafarers, whose life have inevitably been affected by the pandemic. As far as the business is concerned, the second quarter has been a very eventful one for the company. We have retired debt at a record pace, nearly $230 million this quarter alone. At this stage, we retain close to $300 million of cash on the balance sheet and have generated the best part of $600 million of EBITDA in the last 12 months. We are aware and respectful of what is happening in the world. However, we do look at the future with confidence. In the first half of the year, we saw some of the highest rates ever achieved in the period. This was due to the aggressive contango trade that's persisted in the oil markets. At the same time, a significant drop into the seasonally weak summer months has been exacerbated by destocking as the mean reverts and storage patterns normalize. So we address this as much as we could through the significant work we did to turn out our rate exposure during the first half of the year. Lars will talk more to this and the opportunities that the market volatility presents in -- during his remarks. We're now in the third quarter, which is our seasonally weak period, but we made a good start, and we do believe that current spot rates have found a support level. So by the time of our next reported earnings, we expect the winter demand in the Northern hemisphere will start to build. And as other asset-backed markets are clearly already pricing in the rapid recovery in global GDP, we feel our confidence mentioned before is justified. Our capital management message has been consistent and as promised, our priority has been to delever. We're finding chances to opportunistically create value wise doing so. Such as in the recent retirement of a portion of our outstanding convertible bonds. We have also refinanced some facilities, as outlined in the earnings press release. Raising liquidity and further extending the funding profile of the business as our CapEx run rate reduces and normalizes over the next 12 months. In the last 12 months, we just went through an impactful CapEx period, a massive dry docking program, probably the biggest in the industry with around 70 vessels, which have faced special surveys, ballast water treatment system installation and scrubber installations. So the next 12 months will be much less intense from a CapEx standpoint. Behind this volatility and short-termism, the big trends start to swing as a powerful tailwind to our business, namely those of new refineries and routes and the extremely constrained supply picture against the backdrop of a rapidly aging fleet. With this, my remarks are concluded and -- my opening remarks are concluded, and I would like to turn the call to Lars.
Lars Dencker Nielsen: Thanks, Emanuele. Good morning, everyone. During the second quarter, oil and refined product markets experienced significant price volatility and logistical challenges as the result of COVID-19. Preventive measures to reduce the spread of the virus and the subsequent decline in economic activity created a demand shock for oil and refined products. These challenges for the global refined products marketplace resulted in a surge in demand for product tankers to be used as floating storage. The impetus behind the product tanker floating storage demand was twofold: the flat price in contango, which was the collapse in pump oil prices that pushed refined products into a steep contango curve, thereby increasing demand emanating from traders who are looking to capitalize on profitable carry trades. Secondly, the certain necessity where insufficient land-based storage flexibility left limited options outside of product tankers to store excess inventory. In addition to floating storage, there were numerous examples of product tankers unable to discharge cargo who either had to be rerouted or wait at sea until land-based inventories were drawn. Logistical constraints and demand for floating storage tightened supply, driving up vessel utilization at a time when ton miles and arbitrage trades were increasing, which pushed product tankers spot and time charter rates to unprecedented levels. We knew floating storage inventories would eventually peak. However, it was unclear when and how long it would take to return to normal levels. This destocking of floating storage occurred much faster than many anticipated. Product tanker floating storage peaked in May with 105 million barrels. And as of last week, was down to 45 million barrels of refined products. In addition, products in transit, the total amount of refined products being carried is only 20 million barrels above historical averages. This was largely due to a rapid recovery in demand and the initial lower refinery utilization rates. So as vessels reentered the spot market from concluding floating storage contracts and refinery utilization rates remained at low levels, the future benefit of rapid destocking came at the price of lower spot rates. However, the large decrease in floating storage, rapid demand recovery, and looking forward, the increase we now see in utilization rates is encouraging. Not to mention the unprecedented level of global monetary and fiscal stimulus that has been announced. Refineries have now increased utilization rates as demand recovers and we're seeing an increase of exports at more normalized levels. Indeed, this is evident in the relative strong MR rates currently traded in the Atlantic Basin as Latin America and Mexico increases imports. On the larger units, we have seen potential for jet and ULSD storage a theme, which is likely to continue. As the marketplace tries to match an evolving demand scenario as well as we now recognize an increase in time charter inquiries, which are often used as an indicator of general sentiment and future market expectations. Finally, the long-term fundamentals are extremely strong. Demand is expected to continue to recover with some estimates, showing a 6% increase in seaborne refined product exports next year against record low fleet growth of 2% or less per year over the next 3 years. In addition, the fleet supply growth does not account for the aging fleet. Compared to today and including all newbuilding vessels on order today, the percentage of vessels turning 15 years old in the next 3 years will increase from 46% today to 69% for the Handymax fleet; 22% to 40% for the MR fleet; 23% today to 51% for the LR1 fleet; and finally, 15% today to 29% for the LR2 fleet. And with that, I'd like to thank you for your time, and I'll hand over to Robert Bugbee. Thank you.
Robert Bugbee: Hi. Good morning, everybody. Lars, thank you very much. Before I hand over to Brian, I just want to say a couple of brief things that, obviously, the last time we spoke in April, we were right in the real sort of peak of max fear related to the COVID-19 and oil price even gone negative and there was terrible, terrible concern as to literally, with the third quarter with a point where we would move to destocking and would demand just completely diminish and would earnings go to 0? And would there be, all by to that time, the thought that the second quarter could be pretty good, would it lead to such that in the third quarter, rates would go negative? Or do you just get the cash just pouring out of the company? And we've moved now to a point where I think probably the most -- not so pleasing, but the most comforting thing for us at the moment is that we've got a really good start to the third quarter. It's actually ironically better than the third quarter in comparison last year. The company is being cash positive so far through the third quarter. And that's really enabling us to move from a point in April on our balance sheet where we had to be concerned of where things would be. We hadn't actually realized any of the cash we were earning at that point. To a point now, you can see where the balance sheet is really improved in its base liquidity, so much so now that we've started to shift the tempo and instead of just preserving cash, we've started recently, prior leading into earnings to start to buy back the most expensive debt on the balance sheet. Those are the convertibles. We will continue, as you can see in the comments, to create less expensive debt, too, and keep liquidity very high in the $80 million we intend to raise through financing some of the ships, refinancing some of the ships. And that, of course, will allow us even more freedom whilst keeping strong overall liquidity and being cautious on this recovery in the market to continue to buy down the most expensive debt in the company. And with that, I'd like to pass it over to Brian for Brian to sort of detail more the improvements in the state of the balance sheet. Brian?
Brian Lee: Thank you, Robert. James Doyle and I will go over the presentation, which is available on scorpiotankers.com on the Investor Relations page under Reports and Presentations. So turning to Slide 2. We had our best quarterly financial results in our history. With the fleet daily TCE, an average of that of $29,693 per day, net income of $143.9 million and adjusted EBITDA of $252 million. We've also, between March 31, 2020, and August 5, yesterday, we paid down -- or our net debt went down by $228.8 million. As Robert mentioned, in July, we repurchased some convertible notes, they have a face value of $13.8 million, for $12.2 million. In May, we repaid the baby bond that was outstanding and matured in May for $53.8 million. And then later in the month, we reissued another baby bond for $28.1 million. And again, as Robert mentioned, we're currently in discussions for refinancing 8 vessels that could increase liquidity of approximately $80 million, and we have commitments for the scrubber purchasing and installations of $56 million. As for liquidity, as of the close of business on [October] (sic) August 5, 2020, we had a cash balance of $285.7 million. On Slide 3, we show the comparison of the third quarter guidance that we issued today versus the third quarter guidance that we issued on July 31, 2019. In each segment, the rates are higher in 2020. In particular, the LR1 and LR2 rates are 50% higher. On Slide 4, you can see some of the events that have taken place over the last 12 and 18 months. We had income between June 30 and -- 2019 and June 30, 2020, of $159 million, EBITDA of $590 million, and a reduction of the debt of $342 million when you factor out the Trafigura transaction where we had the assumption of the lease liability. In that transaction, we acquired 19 vessels, 1 more that we delivered in September. And in the last 18 months beginning in January 2019, we've paid about $324 million in drydocks, scrubbers and ballast water treatment systems. So quite an intensive CapEx program. And during that time, 62 vessels have been drydocked. We put and installed 49 ballast water treatment systems, and now we have currently 86 vessels with scrubbers. With that, I'd like to take -- turn the presentation over to James Doyle.
James Doyle: Thank you, Brian. Turning to Slide 5, short and long-term fundamentals. I know Lars covered most of these points, so I'll try to keep it short. The short-term update, we saw an oversupply of refined products as a result of COVID and a subsequent increase in floating storage pushed product tanker rates to record levels. A strong recovery in global demand for refined products, coupled with lower refinery utilization rates has led to the rapid reduction in floating storage inventories. As Lars mentioned, we've gone from about 105 million to about 45 million barrels. As vessels reenter the spot market from concluding floating storage contracts and refinery utilization rates remained at low levels, the benefit of rapid destocking came at the price of lower spot rates. However, the large decrease in floating storage, rapid demand recovery and higher utilization rates is encouraging looking forward as well as the macro stimulus that we expect. The long-term fundamentals are extremely strong. Seaborne refined product exports are expected to increase 6% next year. The dislocation between refineries and the consumer continue to drive seaborne exports and ton-mile demand. Including newbuilding deliveries, a significant portion of the product tanker fleet will turn 15 years and older over the next 3 years and limited newbuilding orders have kept the order book at all-time lows or near all-time lows. Turning to Slide 6. You will see that only 35 product tankers have been ordered year-to-date, which has kept the order book at 7.1% of the current fleet, slightly above the historical lows. Turning to Slide 7, and Lars hit on many of these points, but including newbuilding deliveries, in the next 3 years, 69% of the Handymax fleet will be older than 15 years old, 40% of the MR fleet, 51% of the LR1 fleet, and 29% of the LR2 fleet. With that, I'd like to turn it over to Q&A.
Operator: Your first question comes from the line of Amit Mehrotra with Deutsche Bank.
Amit Mehrotra: Brian, just a quick check. You said net debt had declined by over $200 million. I have it at $132 million in terms of the beginning of May until yesterday. I'm obviously missing something, but can you just clarify that?
Brian Lee: Well, yes, I'm using from March 31.
Amit Mehrotra: Got it. Okay. Okay. Got it. So from March to August 5, got it. Okay. All right. Just more of an important question, I guess, now. Emanuele and Robert, it's obviously been a rollercoaster ride over the last decade with Scorpio Tankers. But it feels like -- it just feels like this quarter that you just obviously announced, there's a very real and tangible reduction in the net debt that we just talked about as well as the dwindling capital commitments. I can't remember a time, it seems like the first time where net debt is coming down and capital commitments prospectively are also going down. So there's like a real opportunity here to get your financial house in order, derisk the balance sheet in a way that's accretive to equity and not dilutive to equity. I wanted to know -- I wanted to ask if you can just expand on that a little bit. And how you 2 and Brian are focused on executing in terms of what your priorities are for cash flow, cash allocation and then just overall debt levels as well?
Emanuele Lauro : Robert, you might be on mute.
Robert Bugbee: Yes, Amit. Amit, thank you so much. That's a -- I think you reobserved the really key points there that it's been a long time getting to this point. But we're now at this point, all the ships are in the water. CapEx commitments are coming down to a pretty de minimis level going forward. And we have been paying off debt at -- amortizing debt at a speed higher than we've been depreciating recently. We've also kept fairly consistent. I mean this last year, every call has been -- the use of proceeds is going to be to -- primarily to -- use of cash flow to use -- to reduce debt levels, and that's what we're trying to do for some time now. And I think we're going to continue to do that. I think that the priority for cash right now, as I said, is to start to make -- not only continue to reduce down debt but to improve the cost of that debt. And I think that the actual matrix in terms of borrowing terms for lenders has improved for the company. As you reduce debt, you reduce your internal ratings related to lenders. And that I think is being evidenced by what Brian is negotiating related to the refinancing now that will free up a further $80 million liquidity. Lenders are realizing the efforts of the balance sheet that's coming down, the consistency of management's policy and the really new fleet that is there that's allowing to do this. So we're going to continue as we are at this point. But our degrees of freedom are opening up every day. We're -- buying more ships is certainly very low down on that list, and we do not foresee that at the moment. We do absolutely foresee continuing to reduce our most expensive debt. And I don't think there's anything much more to add to that.
Amit Mehrotra: Well, how does new equity play into derisking the business? You obviously have more debt-funded liquidity on the way, but that's not really the answer longer term. You don't cure a debt problem with more debt. You also tapped the...
Robert Bugbee: Yes. But you're not -- but you're swapping out a difference. I mean, if you look at it in a pretty simple term, I mean, if you took for example, where [Indiscernible]
Amit Mehrotra: I talk really about the ATM. I mean you've tapped the ATM very slightly. It's not a big deal. Just talk about that ATM and like how you think about new equity or the needs for new equity if there is any or not?
Robert Bugbee: Sure. Well, I'll ask David to expand on that in a second, but there's not a need for new equity. We've -- a lot of time has passed, and a lot of things have happened to the good since a few months ago. The company has derisked going forward. But you're not swapping -- it's not like you're taking debt. There's a huge spread between the cost of debt and the maturity of debt. You have, for example, the converts trading at double digits to maturity, and that maturity is pretty short. If you are taking on debt, for example, at much less interest cost and the maturity of that debt is then way down the line, that itself is a pretty good swap and a pretty good strengthening of the balance sheet because in the [Indiscernible]. The direct question on the ATM, I think, David, I'd like you to answer that, if you may, please.
David Morant : Yes. No problem, Robert. I hope my line is clear. And Amit, look, thanks for the question. And giving us a chance to tackle this point head on because obviously, it's there in the release. I think the best thing I can say about this is, look, in the teeth of the COVID crisis with liquidity drying up in the general market and looking at things we should do responsibly for the company, we have access to that. The Board of Directors would expect us to use it. And clearly, we took a decision. I think what I can say in the defense of it is we took the decision. We reversed engines pretty quickly, particularly as it looked as if our market and their markets were rebounding. I think we could say, look, if history repeats it, it's probably not something we do. But I think on top of that, the thing I would add, as Robert mentioned, at least from a shareholder value and NAV perspective, we feel we've -- albeit a very small print now, but we've managed to neutralize that with the transactions we've taken in the convertible bond. So I think, Amit, to be frank, we'll hold our hands up to it. It's not a big number, as you pointed out. And I think I'd like you to see that decision in the context of the time in which it was taken. But we've all got things we could do differently if we went -- look back in history.
Amit Mehrotra: I appreciate that answer. Okay, I think that's it for me. I mean, I think you guys have a really interesting opportunity to generate a lot of incremental equity value. The key is -- and this is an unsolicited commentary, but the key is just maintaining a disciplined and consistent capital allocation strategy. And I hope that you can commit to doing that because of all the upside and the opportunity that you guys have in front of you.
Robert Bugbee: Sure. I appreciate that very much, Amit, and we do, too. And we'd like to -- and we agree about the consistency, and we would point out that this isn't a strategy that's just happened this month. We've avoided the temptation of raising dividends in the fourth quarter, first quarter, second quarter now, we have -- we -- this is a continuation of that strategy, and we hope to show you that we are going to be very consistent on that. But we appreciate the question. Thank you so much.
Operator: Your next question comes from the line of Ken Hoexter with Bank of America.
Ken Hoexter: Let me offer, too, a congrats on the debt paydown and taking advantage of this market in the right way to restructure that balance sheet. Maybe -- I don't know if it's Robert or Brian, maybe talk about the operating cost side, clearly, surprised to the downside. So we knew rates were strong and they kind of came in how you've been talking about it through the quarter and in line with our targets. But the costs continue to come in, I think for a couple of quarters now, surprising us downside. Is there something you've changed there in terms of being more fluid with your cost side? Is there -- I don't know if there's any delays on vessel operating costs that you're doing that are going to come back. Maybe just talk about if there's any contractual shifts on the cost side.
Brian Lee: I think we'll let Cam start, and then I'll fill in some financial stuff.
Cameron Mackey: Sure. Thanks, Brian. Ken well, of course, to state the obvious, nobody is flying. So although we're a shipping business, we will rely on air travel to get our crews back and forth from the vessels. And so the immediate impact in quarter 2 was that nobody could be repatriated from the vessels. And similarly, nobody could get to the vessels to get back to work being at home. And that trickled through the income statement, of course. So a big chunk of that quarter-over-quarter cost reduction I would count as somewhat temporary. We're solving for those logistical issues in ways that won't necessarily show up with an immediate rebound in the operating expense, whether it's through charter flights or other ways to manage those problems or those obstructions in travel. But similarly, it's a hard time to get anything around the world, spare parts, people, anything of that nature. But like I said, we wouldn't expect an immediate snap back, more an attenuated recovery of those costs in the coming months. Then there are longer-term benefits of having our fleet, obviously, fully integrating some of the vessels, getting them out of drydock, of course, and running them almost as if new, which obviously has a beneficial impact on the operating expense line.
Brian Lee: And Cam, I just want to add that, yes, I think we have an expectation that Q3 will be more of a normal, maybe even a little bit higher normal as Cam is saying because now we have the chance to change crews, we're flying crews around. It's a little bit harder to do it because not every place you can fly to. So it's going to cost a little bit more, but the crew has to get home. We have to change. So -- but over the period of time, over the last few years, to your point is, vessel expenses have been pretty much in line and coming down with -- exclusive of onetime events in Q4 2019. There was a few issues there, but consistent and coming down over the last few years.
Ken Hoexter: Perfect. And then just for a follow-up, Robert, or maybe James, if digging into the rate outlook and maybe the LR1s, maybe -- or just thoughts in general, where is storage and utilization rates looking now? I mean, you mentioned the decline in storage capacity. Is that still falling as you see now? Has that stabilized? And maybe your thoughts on that impact to the outlook?
Emanuele Lauro: James, maybe you can have a go on and let Lars follow, if you could.
James Doyle: Sure. Ken, so as we mentioned, the peak floating storage was about 105 million barrels in early May. And since then, it's been quite a rapid reduction. Last week, we went from about 52% to 45%. So we've definitely seen good draws. In terms of overall refined products on the water, so not just storage, but vessels carrying cargo, we're at about probably 415 million barrels and the kind of last 2-year average is somewhere around 390 million. So overall volumes have come down. And this has really been driven by lower refinery utilization rates and improving demand. Demand, obviously, being the bigger driver there. But with that, I'll turn it over to Lars for the LR1 question.
Emanuele Lauro: Lars, you maybe on mute.
Lars Dencker Nielsen: Okay. Sorry about that. I'm here. Yes. I was on mute. Yes. I mean recently, the challenges for the larger units, the LR1s and LR2s, is that they primarily have been carrying jet and also low sulfur diesel. And clearly, because of the situations that we have seen over the last month, the stay-at-home, et cetera, has meant that we have this big demand destruction, plus you had the contango curve. Now what we've seen over the last couple of months is, of course, that there has been a substantial destocking that has been taking place. And that is continuing to do so. However, there is clearly, today, still an underlying resurgence that we can see in the inquiry for storage taking place today. So just as a picture, you can see over the last couple of weeks, the inquiry for larger units to extend the storages or to make new storage contracts starting to percolate in the market as well. So that's why I was saying in my prepared remarks that we're anticipating that this will continue to some degree in the future throughout the third quarter. It's going to be interesting to see as we go into the fourth quarter, when the seasonal demand starts kicking in for the Northern Hemisphere, how this plays out. But I think the interesting point really to make is that people expected a flat-lining of a market in the third quarter because of all the issues that we all know about, we have seen pockets of volatility that has come up. What we also find quite interesting is that the demand that we have seen, especially in the utilization rate from refinery had -- was bottomed out, I think, in April, around 50% for gasoline, 70% of diesel and something like that. Those numbers today, they've recovered quite considerably to 85% to 90%, probably only with jet drilling behind, I think, around 50%. What this means is that we're starting to see a lot of kind of interest and pockets of cargo moving again to other places. So as you have seen probably on the reports, the Atlantic Basin in the U.S. Gulf, in particular, has been a very positive sign. We've seen the Arabian Gulf on the MRs as well, suddenly having a lift. We've seen markets today on the LR2s, starting to show greater interest to move from the West back to East because of increased demand requirements in China in particular. So we're quite encouraged by these stronger-than-expected rates and utilization from the refineries.
Robert Bugbee: I think I'd like to add to that naturally, we -- as Emanuele pointed out in the opening beginning, I mean, we're cognizant that the world is not yet out of its travels related to COVID-19. So we really do believe that it's important that we continue this strategy at the headline to continue to strengthen the balance sheet. We have, as said, turned -- gone into Phase II, where we're willing to use some of that liquidity to buy back more expensive debt levels. But your -- that's because it's the sensible thing to do to retain that strong balance sheet and be consistent. And over time, that itself will create more tools in that way. But when we look at the market itself, so separating the market from the balance sheet, and the balance sheet allows the market to go much weaker than where it is now and allows it to really go into historical weakness for some time, our view of the spot market right now, though, is really encouraging. I mean it is incredible that we can give this third quarter number, for example, on MRs, with the amount of destocking that's happened on MRs. I mean we've gone from something like 87 vessels, all the way down into the low 30s in destocking. And it's amazing that the MRs have held up in that way. And we have previously heard Ardmore report, so you should be getting a consistent picture that MRs are doing well. In some cases, MRs have been performing better than VLCCs. That is an extraordinary thing to happen in the third quarter at all, not to mention in COVID. So there's plenty here to -- for us to actually be optimistic about, even though we're taking a very cautious view related to the balance sheet. Destocking, you can't continue to take ships back ultimately run out of them. As Lars says, major customers who now started switching the other way, looking to take time charters and we look forward to -- it's not very long now before we approach winter, which traditionally will give a lift anyway to any form of market.
Operator: Your next question comes from the line of Ben Nolan with Stifel.
Ben Nolan : So Robert, I believe in the last call, you sort of intimated that you were looking to or expecting to sign some time charter contracts on some of the vessels. We didn't see any of those on the fleet list. I was curious sort of where that -- or what happened, what transpired around that? Or maybe it was just a misunderstanding on my part, I don't know.
Robert Bugbee: No. We have done that and the inclusion of the -- I think we have to remember, for example, the MR market has started off the quarter. I mean way back in June, which you would have used to fix for July numbers, at the end of June, very early July, the MR market was pretty tragic because you -- that's the expectation you would have had as destocking would happen. And just the same as Ardmore said, the actual -- the numbers that we've given for guidance there don't necessarily show all the support or all the developments in the current MR market and those numbers being where they are and where they are on the LR2s, which only recently, as Lars said, has started to move back up again, those numbers are where they are largely because of the time charters that we've put in place. And -- but what we've decided not to do is we -- is actually detail out all of those time charters. I think it's fair to say that we do have an optimistic view related to the end of the fourth quarter, the first quarter and next year. So you're going to see it tailing off. I don't think there's -- I think it's reasonable enough to say that from the first quarter, there is less time charter coverage than what's in the positions right now that we haven't and don't intend to detail out the time total coverage.
Ben Nolan : I see. That's -- so it's ambiguous within the pools somehow or another, but it probably makes your takes an element of volatility out of the spot rates that we should think of for the back half of the year.
Robert Bugbee: Correct. And I think it's fair to say, and that's why looking at the markets, if you were to take Clarksons levels fixing or someone or anyone else's, any independent market report, you see very, very low MR rates at the end of June, early July. You see the same on LR2s in those market reports. And you can see that we've significantly outperformed those markets in our third quarter guidance we've given. And that is as a result of -- partly of that chartering strategy that we gave. And also in this last sort of period, where, for example, we're starting to get the benefit of the steep improvement in the MR market.
Ben Nolan : Okay. And just sort of lastly on that, should we think that those charters are sort of relatively equally spread across the asset classes? Or is there particular concentration in one of the areas relative to the other?
Robert Bugbee: I have to -- Lars, what -- keeping your confidentiality, what are you prepared to say or allowed to be said on that?
Lars Dencker Nielsen: I would say that we have cover on all asset classes with percentages that are different.
Ben Nolan : Okay. All right. And then lastly for me. Just from a big picture kind of a strategic question, obviously, doing a hash over sort of the new strategy at SALT. But at staying, you guys are pretty substantially the market leader in the product anchor business with pretty substantial market share, all things considered. I'm curious, from a big picture perspective, whether you think that really puts staying in a position where there is really no -- or at least no foreseeable reason why you would want to distract or dilute or whatever that product tanker pure-play strategy?
Robert Bugbee: No. I think STNG is in a great position. I think that's part of it. And I think that we've spoken previously before about how the markets are very different, the dry cargo market and the product tanker market. I mean, I think that we are -- I know there's other thoughts out there, but we really believe in the benefits of consolidation in the product market, and we think that consolidation, obviously, it's happening. I mean, in the last 3 years, we've had a number of M&A changes at the asset level and 1 company is buying other companies, companies merging. And this has continued in a different way. And we haven't seen necessarily announcement related to companies merging, but we've seen a series of announcements of smaller companies realizing the benefits, for example, of pooling. We ourselves have seen a steep increase, and we would expect to continue to see that increase in the coming weeks of smaller players seeing the benefit of attaching themselves to larger pools. And so that product market will have that benefit. We also have the benefit here of greater information, the balances of information is much better when you've got these larger fleets. And we can -- we feel we can clearly see the benefit of having a larger fleet in the commercial market in terms of results. And we would start to -- and we would see that going forward to continue to expand. And the outlook for the product market is fantastic. I mean, if the product market is very different to many of the other markets. I mean no market really has a commercial [gelatina] in the clean petroleum products are 15 years old. No market has the -- in the major bulk markets and crude markets have an order book dynamic that is so wonderful as the product market. These are -- no market has to go back to the consolidation that's going on in the product tanker market, and no company has the age profile that we have. I mean, we do not have any requirement to do any renewals and very little CapEx. And our competitors are going to have to either -- I don't know what some of them are going to do. I frankly have no idea how they're going to be able to renew their aging fleet, 15 years old is great.
Operator: Your next question comes from the line of Jon Chappell with Evercore.
Jon Chappell : Lars, if I can start with you. You talked about the logistical issues in the second quarter. Is there any way to kind of gauge or judge how that's transpired thus far in the third quarter? Robert had made mention to the number of MRs that have come off storage, but the IA and even the EIA had mentioned in their recent monthly updates on still the elevated onshore storage. Just wondering how that's playing into congestion and logistical issues.
Lars Dencker Nielsen: It's obviously a very complex answer, which is going to be difficult to give properly. But we do still see quite a bit of challenges that vessels are finding in finding homes. And it depends a little bit more on the product that they're carrying in terms of that. What we do know is that there is more storage that is being made available, particularly on the continent. There is, obviously, with the increase in demand in the Eurozone in particular, that has helped that a bit. So we foresee still a substantial destocking, primarily on the light ends to take place, and we were talking about that previously. However, we are seeing, as I think I mentioned as well, an increase in query on vessels, asking to kind of go the long way around, meaning around the Cape of Good Hope rather than going through the Suez, which obviously extends and elongates the voyage length, which in itself obviously constricts the supply. So these things are interesting to follow, and we're pretty positive that this continues.
Jon Chappell : Okay. That's helpful. And then, Brian, you've obviously made an effort to pick away at the most expensive debt in the capital structure. I think the $13 million or so on the convert is a good head start. Is there any constraints, either the amount of liquidity you want to keep handy from a cash perspective or with the cadence of the convert that would keep you from escalating that as we go through the third and the fourth quarter?
Brian Lee: Hi, Jon. No, we're always open to looking to take care of our most expensive debt, and we will continue to look at that and make sure it's available. We will purchase that as availability is made to us.
Jon Chappell : So it's a market function as opposed to the limit that you're looking at?
Brian Lee: Correct.
Robert Bugbee: Yes. Yes, I was about to intercede. Obviously, that's subject to price, but Brian had added that the expensive part. So if you get to a situation, that comes down to pricing and alternatives. But the overarching, I don't want to equivocate here, I don't want to be anywhere in a halfway house. The strategy right now is to reduce the leverage of the company. That is what we're doing. And we now have the degree of freedom to move to actually not worrying, as you're pointing out that, not for Brian, not to worry about how much cash you get so pure available liquidity, he can move to retiring debt that is expensive, more expensive. That's different. You can't reissue the convertible.
Operator: Your next question comes from the line of Randy Giveans with Jefferies.
Randy Giveans : So yes, I appreciate the quarter-to-date rate guidance, as you mentioned, well above the benchmarks. I guess a few questions on that. What kind of rate are you fixing kind of most recently? Are they above or below that posted quarter-to-date number? Also, can you quantify the outperformance in terms of an ECO premium versus a scrubber premium?
Robert Bugbee: James, why don't you deal with the general scrubber premium? I mean, obviously, point out here that the premium is less, obviously, there wasn't earlier in the year, but you're -- just to say what is at the moment, it's still obviously positive.
James Doyle: Sure. Randy, so at the current spreads, you're probably looking at between $1,000 and $2,000 a day of savings. Obviously, spreads have come off, but we've spent a lot of this call talking about floating storage inventories and land-based inventories and just how high they have been and that they're coming off. So realistically, every refined product commodity is oversupplied from this demand shock. So obviously, you have to work through that. And as we look forward, we are still quite positive on scrubbers and the savings, especially in a world a year from now where you have a significantly less number of scrubbers installed on ships. And while there is limited, but still some sort of demand for high sulfur fuel oil for power generation in the Middle East, outside of vessels with scrubbers and that, there really aren't alternative uses. So while we are still confident, we think that these spreads will come back in the future, maybe 6 to 12 months from now. And keep in mind, we're still saving money every day. There's still cash that is being accrued from these savings.
Robert Bugbee: Great. And then Lars, perhaps just for Lars' answers, the part -- regards to the actual present spot markets. I would put on the straightforward caveat here so that people shouldn't really focus so much on direction. Of course, rates are going to be weaker than where they are in the second quarter. But the most important thing is that traditionally, this next 2 weeks or the present week, so this sort of cost for now in this last week of July through to, let's say, the last week of August is traditionally absolutely dock days, the summer for the product market. Traditionally, it's been extremely low. So when we are optimistic about the structure, it's put in the relativity of that, not in the absolute numbers. So with that statement, Lars, if you'd like to talk about the present market, please?
Lars Dencker Nielsen: Thanks, Robert. Yes, I just want to reiterate that the third quarter is typically the weakest. And this seasonal weakness, we certainly can't feel and is exacerbated by the destocking. If we look at the MRs as an example, in the U.S. Gulf today, on some of the voyages we're doing, we're probably doing between $18,000 and $20,000 a day. The market is strong. If you look at the TC2, TC14 combo Atlantic Basin, it's probably falling up a little bit at the moment, and it's probably still doing around $15,000 in view of the combination. If you look at MRs In Asia, the market has dropped substantially. It has been weak throughout the summer, and certainly, has been lackluster and is probably trading for us around the $10,000 mark. When you put them together, as we have kind of dispersed the fleet globally in a balanced way, you can make the assumptions that we're looking pretty okay. On the LR2s, and I'll use that as the other example, if you have LR2s in the west and you're going east, the arb is open at the moment, you're looking at $21,000, $22,000 a day. People are doing -- or asking for storages, as I mentioned at the moment. And all of those storage contracts that are being looked at, at the moment starts with the 2, i.e., over $20,000 a day. So that gives you an idea. However, for the benchmark route, AG Japan, the TC1 with the combination of backhauls and stuff like that coming from Korea or China down and you do the combination there, you're looking at around $15,000. So in the context of where the market has been and why we are here, I am encouraged by where the market is. On the Handys, on the other hand, which always seasonally is very weak as you can see from the previous quarters that we've had in the third quarter, we're doing substantially better than we have done the last couple of years. So that's encouraging as well. And on the other ones, we have been quite fortunate in being able to triangulate quite well. So it is more a question of how you arbitrage your vessels around than just doing A to B and back to A. I hope that answered the question.
Randy Giveans : That does, very much so. I guess the follow-up with all that being said, how have asset values kind of been impacted in this current market? You mentioned, obviously, still trading at a steep discount to NAV. So just trying to get a better sense for an updated kind of asset value estimate. And then also, how liquid is that second-hand market in this obviously tough operating environment?
Robert Bugbee: I think that first of all, the -- you've got a bifurcated market. I mean clearly, vessels that are aged, certainly vessels over 10 years old would -- that treated more like options. So yes, there's been some weakness in those prices. Naturally, they're harder to finance. They have less practical use of life. And they're probably more -- and they're going to be more expensive to run and they'll be less desirable to the customers if it comes to securing fixed revenues. But in the newer side of the market, you -- STNG is not the only company that's making money in record rates and driving great cash flow. I'm very, very sure that Hafnia is going to come out with some fantastic results. TORM are going to come out with fantastic results. See the -- I can't imagine that there's a product tanker owner with modern tonnage that hasn't done great and continues to do great. And that's the whole point is that from a physical point of view right now, the third quarter is really comforting to that idea. No one here is a foreseller in the terms of the modern market. They don't have to sell to renew assets, and they don't have to sell to bolster their balance sheet. The second quarter came on top of a record first quarter for these modern product tanker owners. The record first quarter came on top of a profitable fourth quarter. So there isn't much to sell and at the same time, none of us really with our stocks being so below NAV or investor concerns related to the NAV stretching out to buy. So it's almost like a nonmarket. So perhaps on the margin, because people are worried, the asset values may have come down a little bit, but very hard because there are really no real transactions going on. The closest we saw to a transaction was Hafnia trying to buy TORM, which -- buy ASC, which is, again -- forget the pricing offered or the way to calculate price, you've just got 2 players affirming a very optimistic view related to assets. And that's how I would look at it.
Randy Giveans : Congrats on the record quarter.
Operator: Your next question comes from the line of Greg Lewis with BTIG.
Greg Lewis : Just one quick one for me. Lars [Indiscernible] or before for [European] refineries to kind of whether they're shutting their doors or starting to scale down or just timing -- providing [Indiscernible] products to the market. Has any of that -- in light of what's happening with this pandemic, has any of that maybe help explain why rates are a little bit -- in the Atlantic have been better over the better than maybe I think people were expecting over the last, I don't know, a month or so? And then just as we think about this, and obviously, you're in there talking to all of these companies, what's sort of the outlook as the world returns to what will be a new normal in terms of -- is it something where Europe is just not going to have that refinery output that it used to have as we think about this in 1 or 2 years from now? That's all for me.
Lars Dencker Nielsen: Hi, Greg, you were a little bit garbled in the beginning. So I'm just going to try and make a stab of answering your question, which I think it is. First of all, when you close down refineries, and there's been some talk over the last couple of quarters on refineries closing down. The latest, I think, was the Martinez in California and so on. And there's been a lot of talk over the years of refineries closing down in Europe because they're inefficient and you have refineries closing down in Australia, and they have closed down in Australia for various reasons as well. At the same time, you've got refineries, big refineries opening up in Saudi Arabia, Kuwait, India, China, just to name a few. The thing that's interesting is that those refineries are also going to service the end users in Europe and in America and other places where there is a high demand for hydrocarbons. So for the product tanker owner, this is great news because what it really means is that the ton-mile element is going to increase. So the voyage length for moving the exact same product that you want to move from Martinez down to Mexico, for example -- as an example, you can get that now from Korea or from China or something like that. And you're seeing a lot more different cargoes moving around the world, and we've been seeing that over the last 18 months, to be honest. And that is just magnified. So as the ramp-up in the U.S. refineries come along, it's obviously a function of different things. And you're starting to see for the U.S. Gulf perspective, a huge increase in exports. And the same thing goes on with China having been shut down because of the flooding that they've had. They're now starting to ramp up as well. So where it's going is depending on the price of the day. But one thing is for sure, as you look at this over a trend line, you're seeing extended and increased ton-miles, which is very good news for the products tanker owner. I hope I answered the question, Greg.
Operator: Your next question comes from the line of Omar Nakta with Clarksons Platou.
Omar Nakta : Just a couple of follow-ups. Just back, Robert, back to the consolidation topic. There's been more fleet, as you said, coming together, especially in the MR space, which has historically been very fragmented or at least the most fragmented part of the tanker business. Obviously, that's going to have positive effects over time on the trading dynamics and earnings potential. How do you think STNG participates in this? You said earlier in the call that obviously, acquiring vessels is far down on the list of options available to you, which makes sense. How do you think about the whole -- the chartering business? We've seen some reports publicly, the Scorpio pools bringing in tonnage. How do you see that playing out from the STNG perspective?
Robert Bugbee: Well, first of all, it is -- of course, it's still fragmented, but it's been rapidly consolidating and becoming less fragmented. The other side of this, the LR2 market is the most consolidated market in the whole of tankers, crude and wet. So we have a little bit of a balance. And that's obviously where we're focused on and trying to encourage participants, fellow competitors to continue their consolidation in the MRs. As we specifically take part in it, first of all, the Scorpio Group has been, as you can see from announcement, adding quality tonnage where we can see it, owners, where we can see that to create a like-minded position to consolidate, and that will continue. I mean I'm confident that in both the Handys and the MRs, we will -- the group will be making further announcements shortly, probably next week and the week after. So the group is doing that. STNG is helping. Obviously, we, ourselves, historically have provided that gravity. And I think that it's -- there will be a point where we will go the other way. I mean I think that we've set -- as we tried to indicate earlier, we set our charter book. So the main point of coverage would be over the third -- the bulk of the coverage would be over the end of the second quarter, the third quarter and the first real heavy part of the fourth quarter, and we were lightening the time charter coverage from, let's say, Thanksgiving onwards. Well, if we continue to see the data points that we're seeing, there's no reason to think that STNG itself won't follow in the improvement -- follow our customers in perhaps adding contracted coverage. And obviously, by definition there, you would -- you would continue to consolidate the margin. The other thing I think we're doing is just with the results themselves, which are better than companies that are running just a few ships or whatever, we are helping -- as a public company, we're helping that get into the market itself. As I say, our focus is going to be on the MR and Handy market. I don't think there is a -- it's pretty hard to make significant consolidation any longer on the LR2, which is the most consolidated of all.
Omar Nakta : Got it. Okay. That was very helpful and clear. One more, just kind of going back, separate topic to the balance sheet. You obviously built up a nice cash position. You're at $285 million as of yesterday. And you've identified the converts as the most sort of expensive part of the debt position, at least -- based off the current price. Is there another part of the debt structure that looks attractive to want to prepay? [Indiscernible]
Robert Bugbee: So I -- I think the convert isn't just attractive enough related to pricing at the moment. It's the debt that is due first. It's the largest -- it's the only outstanding debt that we have that is of a large amount of money that is deliverable. I mean that's -- again, that's not real -- that's not due until May 2022. So it's not like it's imminent. But if you start to get into this point, you start to really opening up and you're not reliant on anything and not vulnerable if there's a melt down later. And I think that you want to be showing that you've really got the wherewithal to cover things. So there's other ancillary benefits to that, too. Inside of the sale leasebacks themselves, there was debt put on when interest rates were significantly higher. So one of the important things of refinancings that we're doing at the moment is -- the present refinancing we're doing, and this goes back to the question related to value, actually, is that we're able to take vessels that obviously have finance some on the moment and refinance, allowing more liquidity out and refinance using the benefits of the lower interest rates. So it happens to -- you'll just do in the next layer. And there's a whole bunch of financings that were done at times where interest rates were significantly higher, and the company's balance sheet on a credit basis wasn't as good as it is now. We have to remember that equity markets are forward-looking and largely a lot of debt analysis is backward-looking, looking to see what your trailing 4 quarters of EBITDA were. And those -- and that, obviously, after this announcement is looking great.
Omar Nakta : Right. Yes. And yes, so it sounds obviously more to come. And you guys do [Indiscernible]
Robert Bugbee: Well, I think it's difficult. It's quite difficult. We can't really go into the super details, but it's kind of -- it's a logical thing that the lending side has been looking at this company's progress now for well over 12 months. And for 12 months, I've seen it consistently look to increase the balance sheet. Increasingly, its debt ratios have got better and better and better. And now where the net debt-to-equity is well below the 60% plane, soon to cross below 55% towards the low 50s on a very new fleet, it's just looking better from a lending profile. And I think that's important is that net debt-to-equity ratios are -- and leverage ratios matter, it matters how older ship is. So if you have a company that has 40% debt, but their fleet is average age over 10 years old, that, I think, is a much more leveraged company than a company that has actually debt of 60%, and the fleet is less than 5%, especially in the product market with the 15-year old.
Omar Nakta : Right. Yes. Tremendous optionality in comparison.
Operator: Your next question comes from the line of Liam Burke with B. Riley.
Liam Burke : Robert, you mentioned an aging fleet, a bifurcated market. How are you looking at the potential of increased scrapping is further benefiting the supply side of the equation?
Robert Bugbee: Not really. We don't really count the scrapping. It's frankly not that important to -- may be important in the crude fleet -- crude market, but the product market -- first of all, why would anyone scrap when rates are substantially above OpEx. There's no pressure to do that. Secondly, it's not really scrapping. They've already gone out of our markets really by the time it comes to the scrapping age because you don't really scrap a 15 years old, but they get removed from the premium product trades. So at 15, they effectively commercially become scrap to us. So we don't really focus on the idea of scrapping. So all of our supply and demand curves going forward really -- they exclude scrapping. They don't consider scrapping. They include what Lars and James has said, assumptions related to the fleet coming to 15 years plus. And I think this is something that is so overlooked by the general community, is that this profile in the product market is very, very different in an age profile to the other shipping markets. We've already seen other public companies, Ardmore, looking to sell vessels just before they get to 15. TORM, Hafnia doing the same. It's real. And those numbers that Lars gave in his speech and what James is doing are really going to start to come home to roost from the end of this year or early next year. But scrapping, we just don't really take as a fact there.
Liam Burke : Okay. You're building liquidity. Your new vessels are low on the capital allocation list. When we're looking at returning cash to shareholders, what triggers the decision there on how you would either increase the dividend or look at a buyback?
Robert Bugbee: That's a fair question. And right now, as I said, we're focusing on -- we're moving through, let's say, the phases. Phase 1 has been make sure liquidity is there to deal and stay humble in the face of COVID-19, just in case the world remain -- goes weaker and rates go substantially weaker. We have that covered. And then we're moving now to the second phase where we can start to buy back the more expensive debt. Obviously, converts, in fact, have some equity component to it. And then the other part, you have to -- we think you have to earn your way into that position. Once you've got the leverage into a sufficient place. I think that if there are 3 phases, Phase 1 is just every piece of cash you need for liquidity, delay expenses, delay whatever you're doing. Phase 2, you're comfortably dealing, you're doing normal operations and you're choosing what debt to do. Phase 3 is where you really have a balance sheet and/or a certainty of outlook that means you can move to acquiring stock, for example, or paying great dividends. So what would be required is clearly, we believe, we have to lower the net debt to equity and/or have a green light on the world itself. I mean if -- I think everyone would feel a whole lot more comfortable if we knew there was a vaccination out there that really worked and was going to become available. I don't think our outlook -- I don't think we need the whole world vaccinated to improve your outlook. You just need to have the vaccination there or a cure that takes death off the table, then you can immediately start saying, wow, the demand overall for this world with all the refineries coming on, the resurgence, all the money coming in to boost the economies, yes, you'd be to switch to Phase 3, perhaps a little quicker then. That would probably be more of offensively buying stock than it would net say immediately putting up a dividend.
Operator: There are no further questions in queue. I would like to turn it back over to Mr. Brian Lee, CFO.
Brian Lee: Thank you, operator, and thank everyone for joining us today. We hope to see you soon. Thank you. Have a good day.
Operator: Ladies and gentlemen, this does conclude today's call. You may now disconnect.